Operator: Good morning and welcome to Lazard’s First Quarter 2020 Earnings Conference Call. This call is being recorded. Currently, all participants are in a listen-only mode. Following the remarks, we will conduct a question-and-answer session. Instructions will be provided at that time. [Operator Instructions] At this time, I will turn the call over to Alexandra Deignan, Lazard’s Head of Investor Relations. Please go ahead.
Alexandra Deignan: Good morning and welcome to Lazard’s earnings call for the first quarter of 2020. I am Alexandra Deignan, the company’s Head of Investor Relations. In addition to today’s audio comments, we have posted our earnings release and an investor presentation, which you can access on our website. A replay of this call will also be available on our website later today. Before we begin, let me remind you that we may make forward-looking statements about our business and performance. There are important factors that could cause our actual results, level of activity, performance or achievements to differ materially from those expressed or implied by the forward-looking statements, including but not limited to, those factors discussed in the company’s SEC filings, which you can access on our website. Lazard assumes no responsibility for the accuracy or completeness of these forward-looking statements and assumes no duty to update these forward-looking statements. Today’s discussion also includes certain non-GAAP financial measures that we believe are meaningful when evaluating the company’s performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measures is provided in our earnings release and investor presentation. Hosting our call today are Kenneth Jacobs, Lazard’s Chairman and Chief Executive Officer; and Evan Russo, Chief Financial Officer. They will provide opening remarks, and then we will open the call to questions. I’ll now turn the call over to Ken.
Kenneth Jacobs: Thank you. Good morning and thank you for joining today’s call. Before we begin, I’d like to acknowledge the extraordinary nature of the period we’re living through. On human level, the suffering is immense. We’re only a couple of months into this pandemic and there probably isn’t a person on this call, who hasn’t been touched personally, directly or indirectly by this illness. The economic consequences are just beginning to be felt. The massive rise in employment, particularly in the United States, is likely to lead to even more suffering. Unless those who have lost their jobs are quickly reintegrated into the workforce, we may see strains on our society that we haven’t experienced in generations. The bravery and dedication of healthcare professionals, first responders and frontline workers under oftentimes the most horrifying conditions, is heroic to say the least. We all owe them enormous gratitude for their efforts and their sacrifice. Lazard is blessed with great people. They are great at their jobs, but they’re also especially great human beings. Their efforts to support each other have been extraordinary. But that is only the beginning. The outpouring of support for their local communities through charitable works is inspiring at every level. I’m humbled to lead this firm and this group of colleagues at this time. From the start of the COVID-19 outbreak, our top concern has been the health and safety of our employees. And we employed social distancing measures swiftly. Our people in Beijing and Hong Kong were the first to begin working from home. By mid-March, virtually all of our employees around the world have done the same. Aided by investments in technology over the past several years, as well as our robust business continuity plans, and dedication of our people, and the resilience of our culture, Lazard’s transition to remote working is seamless. Using secure cloud-based system and integrated video conferencing, we are in heightened communication with each other and with clients. As a firm, we are reinventing our workplace. In financial advisory, our teams around the world are helping clients manage the effects of the pandemic’s economic shock. We are serving clients with deep expertise in Capital Structure, Capital Raising, Debt Negotiations, and Restructuring and exchange offers, supported by our global platform and industry sector teams. For many companies, the current environment is first and foremost a liquidity crisis. We are helping them find and assess innovative financing options and advising on strategy and capital structure moving forward. Our preeminent restructuring franchise is experiencing a surge of activity. It is ranked number one in announced restructuring mandates for the first quarter of this year. We are currently working on more than 75 companies or creditors on restructuring matters worldwide. We are pivoting additional bankers on to restructuring teams as we have done in previous cycles. Our Sovereign Advisory practice has also seen an increase in activity as we continue to advise countries on debt restructuring, including new assignments in Argentina and Lebanon among others. In addition, we are advising governments in developed economies on programs to support the private sector. In Asset Management, we are serving clients with investment platforms that are broadly diversified across asset classes, styles and regions. Our focus on fundamental research can help investors navigate volatile markets. Our global orientation provides a broad base of opportunities. Our worldwide network of local research and portfolio teams are expert in the markets they cover across developed and emerging economies. They also have the regional perspective and insights to identify opportunities in oversold sectors. And our long-standing focus on ESG and sustainability has become increasingly important. We are launching global and U.S. sustainability funds to meet strong and growing client demand. With Lazard’s solid financial footing, our deep relationship with clients and unrivaled expertise and strategic advisory, restructuring and asset management solutions. We expect to emerge from this period in a position of strength. Now, Evan will discuss our financial results for the first quarter and then I will return with some comments on the outlook.
Evan Russo: Thank you, Ken. Our first quarter results reflect the initial impact of the COVID-19 pandemic on the financial markets, as extreme volatility affected our assets under management and some advisory transaction closings were delayed. Financial Advisory’s first quarter operating revenue of $295 million was down 11% from first quarter of 2019. This included a lower level of completed transactions in the Americas, in contrast to Europe, where first quarter revenue increased year-over-year. Asset Management operating revenue of $269 million was down 5% from last year’s level, reflecting the sell-off in global markets, especially outside the United States. Average AUM for the first quarter was $222 billion, 3% lower than year ago and 7% lower than the fourth quarter of 2019. We finished the first quarter with AUM at $193 billion, 22% lower than the start of the year. The decrease was primarily driven by market depreciation and negative foreign exchange movement with $4.9 billion of net outflows. The quarter’s net outflows were driven primarily by equity and debt emerging markets as well as local equity strategies. In the first quarter, we had net inflows in our global and multi-regional fixed income strategies. As of April 24, our AUM was approximately $198 billion, reflecting market appreciation of $7.6 billion during the month offset by net outflows of $1.8 billion and negative foreign exchange movement of $760 million. Looking ahead across our franchise. In Financial Advisory, while new M&A assignment – announcements are mostly on pause, we are gaining a wide variety of strategic advisory assignment centered around Restructuring, Capital Advisory and Sovereign Advisory as well as liquidity focus mandates and potential divestitures. The impact on revenues for 2020 remains uncertain, but we are encouraged by the level and quality of activity. In Asset Management, our businesses performance will depend on average AUM over the course of the year, which will fluctuate with the market. Given our diversified platform and our ability to provide investment solutions from global mix of clients, we believe we are positioned to benefit from improving market conditions. Turning to expenses. In the first quarter, we accrued compensation expense at 60% adjusted compensation ratio compared to 57.5% in the first quarter of last year. Our accrued compensation level reflects higher amortization associated with previous year’s awards and lower revenue in this year’s first quarter. Our full year compensation expectations will develop through the year based on revenues and business mix. Non-comp expenses were 3% lower than the same period last year reflecting lower travel and business development costs. Our adjusted non-compensation ratio for the first quarter was 20% compared to 18.7% in the first quarter of last year. The higher ratio primarily reflects the lower revenue in this year’s first quarter. Our effective tax rate in the first quarter as adjusted was 28.8%, we continue to expect an annual effect of tax rate for this year in the mid-20% range. Turning now to capital allocation. Lazard’s financial position remains strong with ample liquidity and balance sheet flexibility to navigate the challenging market environment. As of March 31, our cash and cash equivalents were $793 million. In the first quarter, we returned $211 million of capital to investors, primarily through share repurchases and dividends. Yesterday, we declared quarterly dividend on our common stock of $0.47 per share. We repurchased 2.9 million shares of our common stock in the first quarter, exceeding our objective of offsetting potential dilution from the 2019 year-end equity grants. Our total outstanding share repurchase authorization now stands at $306 million. Our first quarter, diluted weighted average share count declined 6% from a year ago to 114 million shares. Ken will now conclude our remarks.
Kenneth Jacobs: Thank you, Evan. We’ve entered in unprecedented period of volatility for the global economy and markets. Regional economy is around the world are facing recession and have experienced an unprecedented job in aggregate demand, arising unemployment and supply shocks. Central bank interventions globally have stabilized the capital markets, fiscal measures by governments around the world are attempting to offset, the immediate drop in demand with varying degrees of success. The scientific community is collaborating globally with unprecedented way to identify therapeutics and ultimately, hopefully a vaccine. The shape and nature of the recovery is uncertain at this time, and will depend greatly on a number of variables, the course of the pandemic, the success governments have in relaxing social distancing measures and restarting economic activity. Consumer psychology in a world where the virus is still endemic, the continued efficacy of monetary and physical measures, and the potential for structural damage to the economy caused by the sharp drop in aggregate demand, and particularly in the U.S., a high level of unemployment. For Lazard, as with others, projecting performance for the remainder of the year is challenging given the uncertainty of the pandemic’s course and its impact on the economy, and market volatility. That said, in our advisory business, the breadth of our franchise and diversity of our revenue streams is buffering the impact of this volatility. Our restructuring capital markets advisory and sovereign advisory platforms are all highly active and position us well going forward. As the year progresses, we’d expect to see distressed M&A activity across a range of impacted sectors, much as we saw in the 2008 and 2009 in the financial sector. As the environment becomes more settled, we’d expect additional M&A activity as companies address supply chain disruptions and adjusted structural changes in the economic resulting from the pandemic. Our asset management business continues to provide relatively steady and predictable stream of revenue in this volatile environment. The diversity of our strategies and platforms provide stability to this revenue stream. We have 47 strategies, each with more than $1 billion of assets under management. We have investment platforms in fundamental and quantitative equities, fixed income and multi-asset solutions, and we are adding new product offerings in the ESG space. Our institutional base is stable and long term. Our business model is highly cash generative and has proven its strength and resilience across numerous business cycles. Our people recognize and have confidence in the power of the Lazard model in difficult environments and we excel at providing great advice to our clients during turbulent times. Let’s open the call to questions. Thank you.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Michael Brown with KBW.
Kenneth Jacobs: Hi, Michael.
Michael Brown: Hi, good morning.
Operator: Mr. Brown, your line is open. Thank you.
Michael Brown: Thank you. Yeah, hi, so, obviously cash levels ended the quarter at $793 million. When I look back a number of years, it looks to be kind of the lowest level it’s been at. So what gives you kind of confidence to pay the dividend and do you expect to maintain the dividend going forward? Thanks.
Kenneth Jacobs: Evan, you want to take that?
Evan Russo: Sure. Hey, Mike, how are you? Let me start with the cash position. So, as you said, we ended the quarter at $793 million. Obviously, this reflects the cash bonus payments and the funding of our LFI awards or fund interest awards, which we fund for us, as we fund them immediately upon issuing them for yearend compensation. So this is our seasonal low point in cash. As you know, we tend to build cash through the rest of the year. The difference between this year and probably the last couple of years, the last couple of years is we had some additional financing that we have done, so less additional excess cash on the balance sheet. In addition to that, this quarter’s cash, we usually fund the LFI award, as I just mentioned, we usually fund them in the beginning of the second quarter. This year, we actually funded them in the end of the first quarter, so it actually hit our first quarter into cash balance. And you mentioned the dividend as well. Look, we announced and declared a regular dividend last night, $0.47 per share. And this is consistent with our capital management policy, where we return all excess capital to our shareholders. And look, I think we expect to continue to do so. Of course, look, we’re mindful of the environment we’re in. We’re closely monitoring for additional signs of weakness. But we’re in a strong position from a balance sheet perspective.
Michael Brown: Good. Thank you for that clarification. Just to change gears a little bit, I appreciate the color on the environment. I’m just going to dig a little bit more. So I guess, Ken, first, how do you kind of view this downturn compared to prior ones in both the traditional M&A and Restructuring standpoint and how it could play out? And then what is your baseline expectation as we stand today, as to when that debt advisory and restructuring activity could meaningfully offset the M&A decline obviously with 75 mandates right now, that sounds like it could at least give a good buffer of retainers, but clearly not enough to offset a slowdown in M&A. So any color on that handle would be appreciated. Thanks.
Kenneth Jacobs: Sure. So, look, this downturn is very different from any we’ve ever experienced before. 2008/2009 was obviously a very significant event, but it was highly – but it was focused primarily, at least, initially on the financial sector. It radiated out to a couple of other sectors, the auto industry is an example, and some areas like home building, real estate and such. But largely, once the financial sector was contained, the crisis was contained, and this is no small task to do that, but the crisis was contained, and the recovery set in. Here, this is very different from 2008/2009 for a bunch of reasons. I mean, first and foremost, it’s hit the entire economy and it’s very dependent on the psychology of the consumer economic actors as to the rate and speed of the recovery. That is once we are – exit the social distancing measures, how do people behave and how quickly do they go back to their old – the economic habits they had prior to the crisis. That plus you also have the issue of the – just the sheer drop in aggregate demand and the very substantial unemployment and that becomes another factor that we have to watch carefully, because how quickly these unemployed get re-integrated into the economy affects also the ability for the economy to recover. So this is very different from 2008/2009. There are aspects of it that could allow for a quicker recovery. But there are also aspects of it that we have to watch very carefully that would make it more likely that this is an extended recovery more like what we described as a U or, for a better word, an elongated U. So that’s the first part. Now, how that impacts M&A and the stress is a difficult question to – and restructuring is a difficult question to answer right now. But I kind of think our sense is, is that we’re going to be in a liquidity constrained environment for sometime here. There is an initial burst of activity around restructuring with the advent of the crisis that involved a lot of companies which were already in a level of distress going into the crisis that was in the oil and gas sector, some in the retail sector. There is a lot of activity around that very quickly. Then you saw massive actions of the Fed, which have taken some of the liquidity concerns off the table and bought some time for companies. We expect that to probably result in more activity. It is resulting in more activity picking up now as people come to grips with the fact that they still are going to have liquidity problems, because this economy may not recover as quickly as people hoped. And so, that’s what I would almost call the second wave. And then, there is likely to be more that follows that. Now, as far as how it affects our pipeline, look M&A – restructuring never substitutes, at least our experience has been that M&A – restructuring never really substitutes for M&A dollar for dollar. That was in 2008/2009, we saw a very significant increase in restructuring backlog. But it never really substitutes M&A for dollar for dollar. But at the same time, it does provide a very important buffer. At least for us, it has in previous crisis, I expect it will here as well. Also the breadth of the Capital Advisory platform and the Sovereign Advisory platform also provides some buffering for us. And one of the things to watch is really when does M&A come back. Right now, there is very little activity. Our expectation is that, we’re probably going to see some activity like we did in 2008/2009 that is born out of distress, probably sometime in the summer across a range of sectors that have been hit hard here. And then, you have supply chain issues, which are going to have to be addressed, which lead to a classic buy versus build issue, which could lead to more activity. And then, ultimately, there is going to be a reconfiguration of companies, because there is a reconfiguration of the economy going on as a result of the pandemic that will likely take place. It’s hard to predict when all this happens, but it’s almost inevitable that we will see some activity as a result of the massive disruption that’s taken place.
Operator: Thank you. We’ll take our next question from Steven Chubak with Wolfe Research.
Christopher Walsh: Hey, guys. This is Chris Walsh filling in for Steven.
Evan Russo: Hey, Chris.
Kenneth Jacobs: Good morning.
Christopher Walsh: Maybe one for Evan. On operating margin, you’ve seen that grow nicely in both businesses over the last few years. But COVID-19 related disruption could maybe force that the other way here. What are you doing on the cost side to protect margin both on comp and non-comp? And how much lower do you think you can flex non-comp?
Evan Russo: Yeah, so look, as you say, look, it’s early in the year for us to be really talking about compensation. We accrue at our best estimate for the year, which is sort of what we put out in Q1 at this point in time. However, look, we have to see the severity and the duration of the impact of the disruption before we’re going to have a better view. And as we said, we generally do compensation decisions really in Q4. So I’ll leave that part out. On the non-comp side, as we mentioned this quarter, we got a little bit of the benefit of lower travel and business development offset by some of the work from home and other tech expenses. So there is ins and outs, but ultimately, having less travel and business development expenses led to a lower non-comp number. And I think we would expect to – with this new working paradigm we’re all in, I would say, we expect to see continued weakness in the travel and the entertainment part of our non-comp line or lower travel and entertainment expenses at least into the second quarter. So I think we’re going to get a little bit of benefit from that. And then, of course, on top of that longer term, as we have always done, we’re continuing to review all non-comp in light of the current environment in the new working paradigm. I’m thinking little bit more about our longer term projects and see what we could delay or forestall just because of the changing environment that we’re in. Look, we have – as you mentioned, we have a long history of cost control and then discipline in both of our businesses, and then across the entire firm. So I’d expect us to continue to be vigilant as we move through the next couple of quarters.
Christopher Walsh: Got it. Thank you. And then, as you think about the differences, I guess, across geographies, can you kind of speak to what you’re seeing? And as certain parts of the world begin reopening, are you seeing any green-shoots of CEO confidence on amends in those areas relative to others? Really just any trends by geography would be helpful.
Kenneth Jacobs: Let’s start just with Asia first. In China, you probably had the market open the longest. And there is a little bit of pickup activity, a little bit pickup in terms of optimism. But it’s still early days. Europe, we haven’t seen anything yet, because the social distancing measures are just ending in Germany and are several weeks off in the rest of the continent right now. So we haven’t seen much in the way of change there yet, and obviously the same in the U.S. I think, it’s going to be – it’s going to take several weeks, if not a few months, before you really see a shift in people’s perceptions about the environment. I think, the – obviously, the market – the rallies in the equity market helps a bit in certain sectors that have been less effected and probably in some of those sectors, whether it’s healthcare or tech, we may – on the biopharma side, we may see a little bit of activity earlier.
Christopher Walsh: Make sense. All right. Thank you, guys.
Operator: Next question comes from Brennan Hawken with UBS.
Brennan Hawken: Good morning. Can you guys hear me?
Kenneth Jacobs: Yes, Brennan. We can hear you.
Brennan Hawken: Great. Thank you. Evan, I think, you talked about a bit of a pull forward on the LFI funding here in 1Q instead of as seasonally normal in 2Q. With that level of LFI funding different this year and what drove that and what drove the decision to pull the timing here in 1Q versus 2Q, it’s just seems a little unusual given the magnitude of uncertainty in the environment?
Evan Russo: Yeah. So this was planned from the beginning, I mean, it’s not really a change. I mean, we historically grant the LFI awards to employees. It’s just a question of when they choose to make those investments, and we put that cash in on behalf as soon as they do. Usually, we wait a few weeks post-earnings or a month-and-a-half post-earnings would if it falls into Q2. We had planned to try to bring it forward this year, just to try to line it up with when compensation was given. So it was a change that the plan for a while, it doesn’t matter to us effectively since we’re planning to put that cash into the funds. And so it doesn’t have a material impact from us, whether it happens in Q1 or Q2.
Brennan Hawken: And the mix part of the question, whether that…
Evan Russo: Yeah. So LFI, this year was a little bit larger part of that is due to employees just choosing which they want for their portfolio. We give employees a choice for part of their compensation relating to some of their bonus, whether to put it in LFI or other components. This year, it was slightly higher that it was, it will be probably about $130 million, $140 million this year versus somewhere in the $75 million range in previous years.
Brennan Hawken: Okay. Great. Thank you. And then, looking at the cash flow statement from last year out of the K, it looks like if we took a look at the cash flow from operations, you guys generated somewhere in the neighbourhood of $680 million. And then if we look at the financing uses aside from debt issuance and buyback, we’re looking at a total of about – a little over $550 million. So it looks like there’s a lit bit of an excess of about $100 million. How should we think about, given that 2020, and this might be a lot trickier of the year here, how should we think about the room that we have there? Is there likely to be some pullback on buyback in order to make sure that you guys constrain – hold on to some liquidity in the remarkably uncertain outlook? And is there any noise or factors we should think about when we look at the cash flow statement out of the K?
Evan Russo: Sure. So I mean, look, as you mentioned, we’re a highly cash-generative business, Ken, just mentioned that as well. And one of the largest users of cash we have is returning cash to shareholders to share repurchases as well as dividends. He mentioned, we produce – it’s important to start, we’re thinking about the fact that our cash flow was larger than the net income we produce in any given year. First and foremost, is the difference between our cash tax cost and our book tax cost on top of net income. And then on top of that, you’ve got all the amortization of comp that effectively is excess cash on top of that. So yeah, we produced, I think last year was approximately $700 million of cash, we don’t have any significant CapEx in any given week, year, although there’s always a little bit of movement around receivables and working capital, but not too material for any given period of time. So look, we return 90%-plus probably the shareholders through dividends and share repurchases through the year. And in Q1, what we did is we bought back a lot of the shares relating to the compensation, more than offsetting the compensation from year-end awards. In Q1 of this year, we bought back 2.9 million shares, so sort of frontloaded that with the weakness in the stock. I’d expect us to continue to think about using excess cash for share repurchases, but obviously given the uncertainty in the environment, we’re probably going to take it quarter-to-quarter on share repurchases to think about additional share repurchases from the excess cash. So I’d say in this environment, it’s likely to be limited for the next quarter or so. And then, we’ll see where the environment is.
Brennan Hawken: Yeah. That makes a lot of sense. Thanks for all that color, Evan. Just one quick follow-up, as I was thinking about that $130 million to $140 million versus $70 million on the LFI. Does that mean that your – that Lazard based or the stock-based component of compensation would be that much less this year as some employees opted for some of the other options for indexing their deferred comp?
Kenneth Jacobs: Yes. That’s exactly, right. It’s just a mix question between the two. So ultimately, if employees are choosing more fund interest, then there’s less stock that we’re granting as part of that deferred compensation component of their award.
Evan Russo: And quite frankly, we gave a little more flexibility to employees to make those choices this year. So that probably accounted for some of the increase.
Brennan Hawken: Make sense. Thanks for the color.
Operator: Okay. The next question from Devin Ryan with JMP Securities.
Kenneth Jacobs: Hi, Devin.
Devin Ryan: Great. Good morning. Most have been asked, but I guess the first one here, just to maybe dig in a little bit more around some of the regional differences in activity. And as we think about European activity coming into this recession, it’s also a much lower base than a decade ago. And I’m trying to just think about how that might play into the magnitude of the potential slowdown, just meaning is there less room to fall there. And then just thinking about on the restructuring side of the business, capital markets just continue to develop outside the U.S. is still probably the largest opportunity in the U.S. But you guys have arguably the best position outside of the U.S. So just trying to think about some of the maybe restructuring opportunities today outside the U.S. relative to a decade ago?
Kenneth Jacobs: Sure. So first, you’re right. Europe was coming off generally speaking for the market a pretty low base in the last few years relative to a decade ago or more in terms of cycle. We’ve seen as we sort of pretended last year of improvement in the second half of the year. And we saw some of that even into the first quarter of this year, which was good. Part of that was market. Part of it was market position for us. But it does come off a relatively low base. So there – I think your observation how much can it fall or will fall is a good observation. Second is on restructuring in U.S. versus outside the U.S. So far, the restructuring environment seems to have picked up a little quicker than the U.S. In part, I suspect that is because that the first wave of this restructuring involved a lot of companies that were already in a discussion around liquidity issues and balance sheet issues prior to the crisis. And those quickly turned into more traditional restructuring assignments. There wasn’t as much of that in Europe, in part, because you don’t have the oil and gas sector, and the retail sector aside from one country wasn’t hit as hard in Europe, as it is in the U.S. So I think that first burst of pipeline build wasn’t significant – it hasn’t been as significant in Europe as in the U.S. That said, we’re starting to see now a pickup activity in Europe, as you would expect, as you start to now deal with the liquidity concerns associated with the crisis itself. And I think we’re pretty well positioned for that we have a strong team, both in the UK and on the continent that has several cycles of experience dealing with this. And we should be in a reasonably good position to benefit – I hate to use the word benefit, but you take to – see some gains from this environment.
Devin Ryan: Got it. Really helpful color, Ken. And then just a follow-up just on expenses more broadly, you guys have one of the biggest real estate footprints in the industry, now having a regional presence in continents like Europe has been important. But just trying to think about the real estate footprint coming out of this, work from home has been, I think, smoother than many people have thought heading in. And I think the way businesses have gone could potentially change on the other side of this as well. So just maybe thinking about some of the implications of that, whether it’s real estate or somewhere else, and then you’ll also want to expenses and spending, just the recruiting kind of opportunity or thoughts. I know a lot of firms are probably hunkering down here, but this might be an opportunity to pick up some good talent. So just trying to think about kind of overall spending views, kind of both in the near-term and long-term.
Kenneth Jacobs: Okay. Good question on real estate. Something we’re actually giving a lot of thought to right now and it’s a very practical question as well. I think the reality is, for the next 6 to 12 months, we’re going to be in a reduced office environment. I mean, I’m not sure the exact words to use for this. I’m sure someone’s going to coin a phrase along the way. But it’s pretty unlikely that any of us are going to go back to something close to anywhere near 100% workforce in the office anytime soon. Our expectation is, it’s going to start slow maybe – first of all, we’re not going to rush to get back, because actually, we’re finding that this work from home environment is very effective, both in terms of our internal communication and also in terms of our ability to communicate with clients. There’s going to be a limited travel for the next 6 to 9 months at least. So we’re going to be working in this kind of fashion with clients during this period of time. Going back to the office is probably going to start with maybe 10% or 20% of the workforce and then maybe you get to 25% or 40% and maybe you get close to 50%. But the expectation that we’re going to get to 100% of the workforce all in at the same time in the next six months or so, I think is a little bit optimistic. And so that leads you to think about if you’re effective working like this, and that’s going to be environment going forward. I mean, there’s going to be a period of time where you’re going to need some social distancing and separation at the office, which works against reducing your real estate footprint. But there’s going to be a point in time we expect over the next year or so, where there’s going to be a real opportunity to rethink, what the workplace looks like, how much office space you need, what works from home, what kind of people can work from home 3 or 4 days a week, or 1 or 2 days a week, and be in the office 3 or 4 days a week? And can you take out 10% or 15% of your footprint from a real estate perspective, or maybe even more? I mean, those are all things which we’re going to be thinking about, I’m sure everybody in these personal service industries you can think about as well. And then on the recruiting side, look, we are always opportunistic in environments like this recruiting. You saw we just had George Bilicic rejoined us. He’s very senior banker, obviously, one of the most senior bankers in the industry on the power and energy and generalist side. And we’re grateful to have George back. I think, we will continue to be opportunistic where we see great talent. Obviously, it’s an environment where you’re going to be thoughtful. But, you have to be opportunistic at these times. This is when you make your franchise.
Devin Ryan: Okay, great. Thanks, Ken. Appreciate the answers.
Kenneth Jacobs: Yeah.
Operator: Okay. The next question from Jeff Harte with Piper Sandler.
Jeff Harte: Good morning, guys, most questions have been hit on. One to follow-up on. Can you give us any color on kind of the level and makeup of client dialogue on the strategic side, I guess, I’m trying to get a feel for whether strategic is in kind of a whole pattern, because of shelter in place versus more kind of survival mode like we saw back in 2008, 2009?
Kenneth Jacobs: Sure. So first of all, actually, I think our general experience so far is that clients remain highly accessible during this environment. We’ve actually found that video conferencing is a very effective way to interact with clients during this period of time. And our restructuring business is operating virtually very effectively in this environment. On strategic dialogues, it really depends on what industry you’re in, what the nature of your businesses at that point in time and such. There is some industries where you really are hunkered down and you really are focused on liquidity, and you can – I think it’s easy to kind of identify those industries. There are several that have effectively gone from 100 to 0, where the lights were on, and then they went out. A lot of those are in the travel leisure entertainment arenas. And there, the issues are really around liquidity, at least initially. And then there are other industries where you’re probably 2 concentric circles out from the crisis. And your business is still operating and may even be doing a little bit better in some instances. And there are real dialogues that start to take place around resiliency and strengthening market position in such. And the other area where there is dialogue, which I think is going to increase is really around supply chain. And this is probably both in industries where you have a strong company, but weak either suppliers or customers and you have to think about how you buttress that either through helping them with liquidity or alternatively, through some form of M&A. And then the other is going to be around thinking about sourcing and how you benefit your own position in sourcing, because people are very focused on having the ability to secure supply, and there are certain industries which are going to be highly focused on that. I would say pharmaceutical industry is one. Some of the technology industry – parts and technology industries is another. And then last is thinking – people are beginning to think through, okay, if I’ve got a strong position, and I’ve got a strong balance sheet, are there some consolidation opportunities, no one’s acting right now. I think there’s just too much distress in – or too much fear of distress in the markets too much uncertainty around the markets for people to act right now. But the dialogues are beginning and they’re going to accelerate as we get a better sense of where the economy is headed and a less volatile capital markets.
Jeff Harte: Okay. And finally looking at restructuring. Is it reasonable to look at kind of your historic disclosures when you broke the revenues out to try and get some kind of an idea of maybe the potential revenue size of kind of what this restructuring cycle could turn into?
Kenneth Jacobs: Good question. The reason we eliminated the disclosure, it became too hard to distinguish between a pure restructuring assignment, a Capital Advisory assignment, a distressed M&A assignment. And we had a difficult time making those assessments. I suspect in terms of magnitude, it’s probably a good starting place. It’s just I would caution you in this environment. There are 2 things that are very different from previous ones. The first is it’s across the entire economy, which is very different from 2008, 2009, which was concentrated in the financial services sector. And yes, radiated out to automobiles and some of the real estate or home building sectors. But it was pretty contained. This is potentially across a much broader part of the economy. That’s the first observation. The second is, which works in the other way is the Fed and the central banks have been particularly effective at providing liquidity to markets and reducing levels of volatility and making financing accessible for a broad range of companies, which was not available to the financial services sector, in the same way in 2008/2009. And so, in some ways, it’s very – you’ve got a broader set of opportunities. In other ways, you have probably more support for a company at least in the initial round of this. So I think generally speaking, I think we’re going to see a very high level of activity. It’s just a little hard to predict right now exactly how that unfolds and for how long, because it’s going to depend a lot on the nature of the recovery. Are we in a V, which is looking less and less likely to be the case. Are we in something more extended, in which case we’re probably going to see, a couple waves of restructuring activity. But that’s something we’ll have a much better idea on everyone, over the next couple of months.
Jeff Harte: Okay, thank you.
Operator: And our final question comes from Manan Gosalia with Morgan Stanley.
Manan Gosalia: Hi, good morning.
Kenneth Jacobs: Good morning.
Manan Gosalia: I was wondering on the asset management side, you’ve previously mentioned that institutional funds had been rebalancing their portfolios, driving some net outflows. So I was wondering if it’s possible to categorize the outflows you saw on 1Q between the ongoing rebalancing and how much of it was just a result of the weaker macro environment or maybe if the environment just accelerated the rebalancing, and maybe if you can comment on how you’re thinking about flows going forward.
Kenneth Jacobs: Sure, Evan, you want to touch on the outflows? And I’ll touch on the flows going forward.
Evan Russo: Sure. Yeah. So, Manan, as you mentioned, we’ve talked about the rebalancing of portfolios in the past, which was the driver of some of the outflows. I think this quarter, we continue to see, I mean, for the most part, as we called out this morning, the outflows were in the platform and a couple of local strategies. So a lot of that is the rebalancing, I don’t think there was as much as an institutional client base. They tend not to jump when markets move with the first signs of volatility. And so I don’t think a lot of the – any of the flows that we’ve seen really related to the early part of this pandemic, we’ll see how that plays out, as Ken will talk about in a second. But a lot of this really relates to the growth versus value paradigm that we’ve been in, that we’ve talked about in the past. Our portfolios remain and are heavily value tilted. And even in this recent current volatility value is underperformed, quite significantly underperformed growth in this place here. And so I think that that’s a little bit of the sort of the continuation of this rebalancing, transactions that we’ve seen over the course of the last couple of quarters. And then, I think we would expect to see a little bit more of that coming forward, but very little that has to do with the pandemic.
Kenneth Jacobs: And then going forward flows, I would say, we are, I was pleasantly surprised by the level of RFP activity right now. I think it’s the highest level of RFP activity we’ve seen in a couple of years. And it’s across a range of our products, so it’s going to be interesting to see how this plays over the next couple months or so. I think the recent moves in the markets had given all investors a little bit of pause about thinking about allocations and where they want to make their bets and over the next couple of years and so, because we’re going to be in a very different type of economic environment than the one we’ve been in for the last several years or so. And so, I think it’s getting a lot of institutional investors and investors generally talks about how they make their allocations going forward. And I think that’s reflected in this high level of RFP activity right now. And given our offerings, I think we’re pretty hopeful that’s going to work to our benefit.
Manan Gosalia: Got it. And are there any early – is there an early read on flows in April?
Kenneth Jacobs: Evan?
Evan Russo: Yeah, so we called out this morning $1.8 billion as of April 24 net outflows. I think that’s just the continuation of what we’ve seen in the first quarter.
Manan Gosalia: Got it. And then, just a clarification, sorry, if I missed it, but in the corporate segment, you had negative revenues this quarter. Should we think of that as returning to normal in the next quarter?
Evan Russo: Yeah. As we talked about corporate revenue, we had a loss of approximately $900,000 in the quarter. Look, there’s a lot of components, as we’ve talked about in some of the previous calls, lots of components in the corporate line. I mean, there’s cash interest. There’s the fee portfolio gains and losses, some of the movements in our legacy PE interest, some FX adjustments. So it’s literally a myriad of things that go into it quarter to quarter. I’d say this quarter, we had – we taken some revaluation related to the small piece of the private equity interests that we’re holding, the legacy private equity interests that we’re holding, given the market conditions. But yeah, I mean, I think I’d expect that over the next couple of quarters to go back to a more normalized rate.
Manan Gosalia: Great, thanks very much.
Kenneth Jacobs: Except I would add that – I should add that, look, with lower interest rates around the world, we’re earning less on the cash as well. So that’s going to be sort of a lower step than we’ve been in working through that in the last year, when short term interest rates were rising or earning more on the cash, which is at the end of the day the largest driver of the corporate revenue line item, which is never significant, but it’s still the biggest component of it.
Manan Gosalia: Okay, got it. Thank you.
Operator: This now concludes Lazard conference call.